Operator: Good day ladies and gentlemen, and welcome to the Q3 2017 Lifetime Brands' Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions]. I would like to introduce your host for today's conference, Ms. Harriet Fried of LHA. Ma'am, you may begin.
Harriet Fried: Good morning, everyone, and thank you for joining Lifetime Brands' third quarter 2017 conference call. With us today from management are Jeff Siegel, Chairman and Chief Executive Officer; and Larry Winoker, Senior Vice President and Chief Financial Officer. Before we begin, I'll read the Safe Harbor statement under the Private Securities Litigation Reform Act of 1995. The statements that are about to be made in this conference call that are not historical facts are forward-looking statements and involve risks and uncertainties, including the company's ability to comply with the requirements of its credit agreements, the availability of funding under those credit agreements, the company's ability to maintain adequate liquidity and financing sources and an appropriate level of debt, changes in general economic conditions, which could affect customer payment practices or consumer spending, changes in demand for the company's products, shortages of and price volatility for certain commodities, the effect of competition on the company's markets, the impact of foreign exchange fluctuations and other risks detailed in Lifetime's filings with the Securities and Exchange Commission. The company undertakes no obligation to update these forward-looking statements. The company's earnings release contains non-GAAP financial measures within the meaning of Regulation G promulgated by the SEC. Included in this morning's release is a reconciliation of these non-GAAP financial measures to the comparable financial measures calculated in accordance with GAAP. With that introduction, I'd like to turn the call over to Mr. Siegel. Please go ahead, Jeff.
Jeffrey Siegel: Thank you, Harriet, and good morning everyone and thank you for joining us today for an overview of Lifetime's third quarter results. As all of you who have been watching the news and reading the quarterly announcements of other household products companies know, it has been a challenging time for brick and mortar retailers, which are trying to adapt to consumers' new buying habits by closing stores, reducing inventory levels, and adjusting to strategies. By contrast, pure play e-commerce retailers led by Amazon and those traditional retailers, with a robust online businesses, are doing well. The problem for wholesale suppliers like us, is that e-commerce sales, while growing rapidly, are not growing fast enough to offset declines in brick and mortar sales. We think that will change, but until it does, there will be pain and we will experience our share, as reflected in our third quarter results. Fortunately, several years ago, we committed to building a sophisticated e-commerce platform and our investments in infrastructure, systems and people are showing great results. In fact, we are well ahead of most wholesale suppliers, as evidenced by our growth in e-commerce sales, which was 59% during the quarter, and 51% for the nine months. And if we are able to sustain that rate of growth, and I believe we can, our sales for the pure play e-commerce retailers and the online sites of our traditional customers, will more than offset the rate of decline to traditional brick and mortar stores, beginning in 2018. As [indiscernible] I can tell you that our acquisition pipeline has never been greater, as many of the acquisition targets either don't know how or can't compete online or simply cannot afford to do so. As retailers adapt to consumers' change in buying habits, they have reduced the number of weeks on hand in stores, and that certainly had a negative effect on our sales for the quarter. In the third quarter, the advanced [ph] numbers reduced weeks on hand of our merchandise. Our largest customer reduced weeks on-hand by 22%, even though there was no decline in retail sales. For the fourth quarter, it appears that that particular customer is reversing this strategy and returning to a more normalized number of weeks on hand. Our expectation, is that retailers will be highly focused on maintaining profit inventory levels, and would expect vendors like Lifetime to be ready to shift products on a more frequent basis. Our distribution warehouses have been designed to do this efficiently. Even though our gross margin rose, this changing environment impacted Lifetime's performance in the third quarter, resulting in lower revenue and earnings per share than last year's period, when we turned in record revenue, adjusted net income and EBITDA. In addition, in this year's period, we intentionally limited sales to certain retailers due to credit concerns, and through some expensive but worthwhile steps, to implement Lifetime Next, our program to simplify and strengthen the organization for growth. Year-to-date, in constant dollars, our net sales were up approximately 1%. Our gross margin rose 80 basis points and earnings per share were $0.06 as compared to $0.07 the 2016 period. As we mentioned in this morning's release, our third quarter 2017 financial results, also include an unrealized foreign currency loss of $900,000 compared to a loss of only $25,000 in the 2016 quarter. These amounts represent mark-to-market adjustments of the British Pound versus the U.S. Dollar for foreign currency contracts, related to the purchases of inventory. The adjustments will reverse, as the forward contracts are settled in the ordinary course of business, and are therefore not expected to have a permanent economic impact. Excluding the non-cash mark-to-market adjustments, consolidated adjusted EBITDA for the 12 months ended September 30, 2017, was in line with the prior year. With that background, let's review the highlights of this quarter by division. First, looking at our U.S. Wholesale segment, total sales were down by 1.8% in the quarter. Had we shipped the orders that we held for credit reasons, our sales would have been approximately the same as the third quarter of 2016. Fortunately, we were able to ship most of those orders in November. Our gross margin was up by 40 basis points, due primarily to a more favorable customer mix. There were many other good areas of strength for us as well. Our kitchenware business remains our strongest category. Even though this business was flat in the quarter, we have used the opportunity afforded to us by the acquisition of a small business in 2016, to enable us and discontinue some older product lines, with limited profit and sales potential. As part of our Lifetime Next reinvention of the company, we are much more focused on the development of products, that offer us greater profit potential, and at the same time, on to leading products that offer minimal profitability. The net result over the next year will be a considerable reduction in the number of SKUs we offer, increased profitability per SKU, and lower inventory level, and we believe we can accomplish this, while still increasing sales. Tableware had a challenging quarter, as we continue to face the declines in the amount of floor space, being allocated by department stores to dinnerware. I think it's important to note that 25 years ago, approximately 80% of our total business was to department stores, while today, that figure is at 8%. In addition, Hurricane Maria impacted our Sterling Silver operations in Puerto Rico, where we produce our flatware. Lifetime's facility lost power for a month, and although there was only a negligible amount of damage and our employees, although thankfully, are all safe, they had to deal with an immense amount of disruption. Our operations are now fully restored, and we are working with insurance companies to recover as much of the losses attributable to the storm, as we can. One very bright spot in the table was our acquisition of Fitz and Floyd in September. Fitz and Floyd products range from decorative ceramics, centerpieces, to functional everyday and seasonal tabletop lines. Fitz and Floyd distribution mirrors our own, plus they sell-through a number of independent gift and specialty retailers. In its operating months with Lifetime, the brand has done very well, and we continue to expect the acquisition to be accretive this year. We are pleased that Steve Baram, Fitz and Floyd's President and CEO to head up our Tabletop Division. Sale in our home solutions business, which includes home décor, lunch bags and hydration products, were essentially even year-over-year, although a promotion that took place in last year's third quarter, shifted this year to the spring of 2017. Even though that impacted our overall results, we gained hydration penetration in the [indiscernible] price and food channels, through trendsetting new styles and patterns. In order to improve the long term profitability of the home décor business, we eliminated a large number of wall décor SKUs. As business shifts to the internet, large wall décor pieces at low retail, become unprofitable to ship. We have replaced that business with a proprietary line of realistic flame LED candles, that are selling extremely well at retail. Turning now to our international division; Lifetime Brands Europe, in constant currency, net sales were down slightly by $1.4 million, as continued solid performance in kitchen tools and gadgets, led by the strength of the e-commerce channel, was offset by weakness in tabletop. As part of our very comprehensive Lifetime Next program, we are now moving forward with a combination of our two U.K. based businesses and expect to realize improvements in 2018, through many initiatives that I have mentioned before, including streamlining of product lines, consolidation of national account managers and sales teams, a consolidation of five warehouses into single, more efficient facility, and moving kitchencraft to Lifetime's SAP platform. Much of the hard work will be completed by the end of the year. The integrated sales force has already opened over 80 new customers to the tabletop business, and this is just the beginning. Similarly, in the U.S., we are moving ahead with various steps, to enhance our operations, including a relocation of our West Coast distribution facility, and the rollout of new project management system to all U.S. divisions. As I have described in past calls, the new system, which is also an important part of Lifetime Next, will enable us to focus on the development of higher value SKUs and better manage the lifecycle of products, resulting in a more optimal level of working capital. We look forward to the fourth quarter, which has always been an important period for us. In the late fall, we began bringing in the strong pipeline of new kitchenware products to market, that we believe will contribute to a robust quarter. The initiatives include the expansion of our dishwasher safe cutlery offerings, and the launch of rust resistant cast iron cookware under the Sabatier and Mossy Oak brands. The new cookware uses technology that's not a coating. It's chemical free and safety use of metal utensils and even dishwasher safe. We have also expanded distribution of kitchen tools and gadgets, designed to help home cook's reduced food preparation and cleanup tasks [ph], including easier to use can openers, fruit slicers, citrus squeezers and garlic pressers, to name just a few. We have added Fitz and Floyd holiday collections, an electric knife sharpener to our Edgekeeper collection, and a patent pending product that makes vendor style hot dogs in the microwave, which is perfect for both families and college students. The retail climate [ph] is what it is, and we don't have the ability to change it. What we must do, is to adjust our business plans and actions, so we can profitably grow in this new environment, and that's exactly what we are doing. We need to grow market share with traditional retailers, while greatly accelerating our growth at e-commerce retailers. We also need to focus on margin improvements, SG&A reduction and improving cash flow. In my tenure at Lifetime, I have seen great many changes of retail. What's happening now, is probably the most profound, but it's not the first and it's not going to be the last. As a company, we have prided ourselves on a long tradition of reinvention. There is no reason to fear change, but there is a strong reason to fear complacency. While we are optimistic on the company's performance in the final quarter of the year, the retail environment in North America and Europe is difficult. Accordingly, we have made some adjustments to our guidance for the year. Larry will provide the updates in his section. Larry?
Laurence Winoker: Thanks Jeff. As we reported this morning, net income for the third quarter 2017 was $4.3 million or $0.29 per diluted share, as compared to net income of $6.5 million or $0.44 per diluted share in the 2016 period. Adjusted net income for the quarter was $5.5 million or $0.37 per diluted share as compared to adjusted net income of $7.5 million or $0.52 per diluted share in 2016. A table which reconciles this non-GAAP measure to reported results was included in this morning's release. Income from operations was $9.3 million for the 2017 quarter compared to $10.8 million for the 2016 quarter. Consolidated adjusted EBITDA, a non-GAAP measure, as reconciled to our GAAP results in the release, was $15.7 million in the current period and $16.7 million for the comparable period last year. Consolidated adjusted EBITDA was $45.8 million for the trailing 12 months ended September 2017, versus $45.6 million for the same period in 2016. For our U.S. wholesale segment, net sales in the 2017 quarter decreased $2.5 million or 1.8% to $137.1 million. The decrease reflects challenges at retail, including our delaying of shipment, and in some cases, holding shipments, due to concerns for certain customers' credit. U.S. wholesale segment gross margin was 34.2% in the 2017 quarter compared to 33.8% last year. The increase reflects better customer and product mix, partially offset by unfavorable fixed cost absorption, due to a decrease in inventory purchases. U.S. wholesale distribution expense, as a percentage of sales, shipped from our warehouses was 8.4% in the 2017 quarter versus 8% last year. The increase reflects higher freight add expense on higher sales to prepaid freight customers. U.S. wholesale SG&A expense was $22.2 million, which is 16.2% of net sales, and that's in this current quarter, versus $22 million or 15.8% of net sales in the prior year's quarter. Included in the 2017 quarter were among other things, employee severance, amortization of the brands acquired in 2016, the inclusion of Fitz and Floyd and the expense associated with our retail credit concerns. These increases were partially offset by a decrease in incentive compensation expense. Turning to the international segment, on a reported and constant currency basis, net sales in the 2017 quarter were $25.3 million versus $26.7 million last year. Sales in kitchenware products were very strong in the e-commerce channel, but was offset by a decline to the independent U.K. trade channel, and for tableware products as well. International segment gross margin was 31.2% in the current quarter compared to 32.4% in the 2016 quarter. Tableware product sales mix and clearance activity caused the decline, which was partially offset by a 60 basis point improvement for kitchenware products. International distribution expense, as a percentage of sales, shipped from warehouses, was approximately 10.8% in 2017 quarter versus 12.2% in 2016. This improvement reflects better utilization of temporary labor and lower freight rates. International SG&A expenses was $6.9 million in the 2017 quarter, versus $5 million last year. The 2017 results include an unrealized foreign currency loss of $900,000 versus a loss last year of only $25,000; and as we discussed earlier, this represents the mark-to-market adjustment on the exchange rate of British Pound to U.S. Dollar currency contracts, related to purchases of inventory. The contracts have settled in the ordinary course, therefore, the adjustments will reverse, and not expected to have a permanent financial impact on the company's results. The balance of the SG&A increase, primarily represents currency contract settlement payments and expenses associated with the implementation of the SAP at Kitchencraft. For our retail direct segment, net sales were $3.5 million in the 2017 quarter versus $3.8 million in the 2016 quarter. The segment loss was $300,000 in the quarter versus a loss of $100,000 last year. This segment's performance, largely reflects our focus on growing our e-commerce business, through our wholesale customers, whose web sites garner far greater traffic and conversion than ours. With respect to non-segment items, unallocated corporate expenses were $3.6 million, down from $4.5 million last year. This decrease is primarily due to lower incentive compensation expense. Interest expense was $1.2 million in both quarters, an increase in LIBOR was offset by the repayment of higher rate term loan debt. Our effective tax rate for the quarter was 42.9% versus 31% last year. The effective tax rate reflects current losses, for which no benefit was recorded. A change in jurisdictional mix and forecasted earnings for the year, and expense from share based compensation. Equity and loss was $326,000 in the 2017 quarter compared to $138,000 last year. Grupo Vasconia reported a net loss of $600,000 in 2017 as compared to a $200,000 loss in 2016. At September 30, 2017, our liquidity was approximately $48.9 million. And as noted in the earnings release, we currently expect full year consolidated net sales to be even with last year, excluding foreign currency impact, with a gross margin improvement of approximately 25 basis points. Based on the sales volume, distribution expense and SG&A expenses, excluding any effects of mark-to-market adjustment, as a percentage of sales, should be slightly higher than in 2016. This concludes our prepared comments. Operator, please open the line for questions.
Operator: [Operator Instructions]. Our first question comes from Frank Camma from Sidoti. Your line is open.
Frank Camma: Hey, good morning guys.
Jeffrey Siegel: Hey, good morning Frank.
Frank Camma: Hey. I was wondering if you could quantify the impact of the -- I know they are small, but the acquisition, so we can [indiscernible] for the true organic versus non-organic results in the quarter?
Jeffrey Siegel: Fitz and Floyd was very small, less than $2 million -- or about $2 million, and the others -- remember, when we make acquisitions, we sometimes use the brands. I can give you an example, with one of the acquisitions we made last year, we took the brand and put it on a product that was supposed to be on another brand, that we already owned. So it kind of mixed trend.
Frank Camma: Yeah. We can count that. So did Fitz and Floyd add $2 million of revenue in the quarter? Is it --
Jeffrey Siegel: About that, slightly accretive, but very little.
Laurence Winoker: We only had that for one month. And part of that -- it would have been much greater for that month, and the purchase, we allowed the seller to take a significant sale that was supposed to be in August, that moved to September a bit.
Frank Camma: Oh, I got it. Okay. I got it. Hey I mean, you clearly were all along in this thing about the last quarter, relaxing continued problems. In retail, it seems like the cadence may have caught you a little bit off guard, a little bit, considering the results. But you also made that interesting comment about the one largest customer with the weak sell on-hand, which clearly is going to sort of -- I assume, somewhat reverse itself in the fourth quarter. Is that a fair statement, that's how you get comfort with a flat result for the year on a revenue basis?
Jeffrey Siegel: Yes. It's exactly what's happening. It's already happening. We were kind of surprised and I guess that all happened really in the month of September within the period. They decided to turn off the [indiscernible] and just wait. I guess maybe their overall store inventories were high, whatever it was, and so our weeks on hand, went down 22%, which is a dramatic difference. And they weren't the only one. We found that across several other retailers as well. But that situation seems to reverse itself. The weeks on hand, I can't give you a number right now, but the weeks on hand -- we turned very well with retail, our products turned well. So the weeks on hand are rather small, they are not big numbers. So when somebody reduces, it is significant.
Frank Camma: It impacts it. Okay. So what gives you -- so I get the revenue, but as far as the margins, given what's going on. What gives you the confidence and even, like for full year increase of 25 basis points, where every month now, if I look back in my old model, will be kind of actually right, almost exactly flat when I adjust the numbers. So what would be that delta I guess, in the fourth quarter, that would give you, whether it's mix or -- it's obviously not pricing, but --
Jeffrey Siegel: It's not pricing. It is something we are pretty -- we are pretty good on pricing. Commodities have gone up very slightly, and the commodities that we deal with. There was a period in the third quarter, where some of the factories that we deal with in China, were shut down temporarily, because of pollution. But they have all come back on, and so they have not -- [indiscernible] for several weeks, and that did slow us down a bit, on some inventory levels. But you know, it's customer mix more than anything else, and a focus on eliminating SKUs that are less profitable, which is -- you are going to hit us from all of next year. We are highly focused on really -- as part of the -- what the consultants did when they came in, they want us to focus on what high value SKUs and really eliminate a large number of less profitable SKUs, that really don't add up to anything in the long run for us. And that's what we are doing.
Laurence Winoker: Frank, just as a reminder. 20 -- Through the nine months, were 80 basis points ahead of last year. So 25 says that the fourth quarter will not be as good as, launching in the next fourth quarter.
Jeffrey Siegel: We will conserve it off the fourth quarter, because it's just -- it's a strange retail environment right now.
Frank Camma: Right. I mean yeah, it still, I guess implies obviously, a decline in the gross margin in the fourth quarter. No, I totally get that. I mean, if you are only going 25 basis points, I guess I was just thinking about it from sort of the very current trend, versus the first two quarters. I get that. So I know it's a little hard to measure, given that your customers probably don't break it out this way, but what do you estimate the true percentage of revenue or ballpark is currently e-commerce versus traditional bricks and mortar, if there is a way to kind of --?
Jeffrey Siegel: You are right. A lot of our customers don't break it out. Obviously, we do have the pure play, but we don't have the -- some of the retailers don't break it out for us. But we do talk to them about it all the time. So our belief is that it's in the mid-20s at this point, and what's really interesting to note, if you look at a country like the U.K., which has a much higher penetration of e-commerce sales versus brick and mortar sales in the United States, the numbers vary tremendously. We had our -- the Head of our U.K. operations was here this week, and he told us that John Lewis, which is the Macy's of the U.K., their online business, they announced is now 52% of their business, and quite profitable. So the dramatic shift that we are seeing is happening worldwide. It's already happening in the U.K., and we are taking advantage of it. E-commerce is our most -- it's our most important part of our business in the U.K., is the e-commerce. So it's something to really understand. And we are about to very aggressively grow e-commerce in Germany, and we are also looking at France now. So we are -- we have a lot to go, but there is no question that -- the growth is going to come in e-commerce. Though, brick and mortar is not going away, but I believe that e-commerce will certainly move to over 30% of our business and possibly even closer to 40% of our business over time.
Frank Camma: That makes sense. And my last question and I will hop off. Previously, you had given sort of an estimated range, not really exact timing, on the impact of Lifetime Next, I think the savings pre-tax, was around $10 million to $13 million. How do you feel about that number now that, through time it has progressed?
Jeffrey Siegel: Frankly, I would have liked to see it happen much faster, and it hasn't. One of the biggest components is rolling out of the system to handle lifecycle of a property. That took us much longer than we thought it would. We had to get buy-in by the divisions and the people, which was although difficult at first, because it’s a lot of work, and it's sort of holding back [ph], tying their wrists together versus allowing them to go [indiscernible] to develop products. We have gotten over that. We have made all the tweaks we had to make to the system to make it really work well and work fast. So we will get the results in 2018. How much of the results, I am not sure yet, but a good part of it will be in 2018.
Frank Camma: But you think that number is sort of still a valid number, based on what you are seeing like ultimately, not really, from a timing standpoint?
Jeffrey Siegel: Yes. Absolutely. And we have also found some other ways that we feel -- make some improvements other than what was originally planned, and we are working on those as well.
Frank Camma: Okay. Thanks.
Operator: Thank you. [Operator Instructions]. And our next question comes from Andrew Walker from Rangeley Capital. Your line is open.
Andrew Walker: Hey guys. Thanks for taking the question. Just following up on the last question, Lifetime Next, it's just a little surprising to me how long it's taking. I think you guys have been mentioning SKU rationalizations, and since the 2015 earnings announcement. Like can you give me a little bit more on the timeline of when we are going to start seeing SG&A start coming down?
Jeffrey Siegel: It's certainly frustrating to me though. To be very honest with you, when we brought in the outside consulting firm. They did put a ratable timeline on that. We felt in turn, that we could move faster than what they suggested, and it turns out their timeline was more accurate. So it's going to take time. We will get, as I said significant, benefits in 2018. We are working on it. We are doing a lot of things now. But the major part of this, the thing that gives us the most benefits, which is really SKU rationalization and developing systems to develop the right products versus just developing to many products, those only went into -- fully into play in the last 60 days. So it has taken much longer than I thought it would. I am not happy about that, but maybe we should have listened to them and not been so optimistic on our own.
Laurence Winoker: And just to be clear, now a lot of that will come through cost of sales. The substantial increase you see in SG&A year-to-date, most of that, I mean a lot of are because of ups and downs; most of that relates to foreign currency, like almost $5 million and $3 million of it is mark-to-market. So that's not because of actual spending. We have got other things going on, we have added Fitz and Floyd, we have some bad debt and other related things, because of what's going around in retail. The implementation of that safety, some severance changes we are making. So some of that is non-recurring. But this isn't what we -- what you see in these numbers through nine months, it's not because of things like compensation going up and fast, it's probably flat, and not slightly down year-to-date. So this effects really distorts our expense profile.
Andrew Walker: Okay. And just quickly, speaking of the foreign currency. So I think this quarter is the first time you guys added back unrealized currency losses into your adjusted EBITDA, is that how you are going to be reporting going forward?
Laurence Winoker: Yes.
Jeffrey Siegel: In the past, it was -- certainly last year, it was immaterial. We never focused on it. And typically, these are hedges, plain, simple, pure [ph] hedges. But because of the type of contracts, where they are participating, it's very hard to get under accounting rules, hedge accounting. So we would otherwise and most -- probably most other companies report this in other comprehensive income. We don't qualify for it. And when we entered into these contracts, we weren't worried about it because, it was pre -- what it was, we entered into, was pre-Brexit, and the [indiscernible] of a relatively stable currency, it moved a little bit. And post Brexit it has been all over the place, and in fact -- the fact that at the end of September, when we did the mark-to-market calculation, the pound was -- the exchange rate was like 1.34 and forecast, bank forecast, [indiscernible] probably in the low 1.20s. So obviously a rollercoaster ride, not what we expected. But certainly, I think you understand the mark-to-market, which is go away and tie, because we don't sell these -- we are not going to sell the -- all the contracts, we are going to sell them in level course, because we actually hedge our -- in the U.K., they hedge our purchases of inventory in Asia, which is denominated in dollars.
Andrew Walker: That's fine. I was just comparing it to apples to apples. If these were entered pre-Brexit, I mean, that would make it seem like you are hedging inventory purchases, 18 to 24 months out for these, the resulting losses now? So I don't know --
Jeffrey Siegel: The answer is no. What we did in the last 12 months -- I would say the point is that, well we couldn't get hedge accounting, we felt it was [ph], okay so what. The numbers which we called out, we still can't get hedge accounting, but now the number, because of the great volatility, the exchange rate really stands out in the reported earnings.
Andrew Walker: Okay. I don't want to belabor the point. And then, I mean, the last one you know -- I am sure, you guys are focused on running the business, but you know, as investors in the stock, you will hit the stock at like 2017 today. Obviously, there was an offer at 20 earlier this year, which I don't know, if it fully values the company or not, but I would just say, looking at the balance sheet, once you guys generate cash in Q4, you have a pretty nice balance sheet like -- is this some type of share repurchase program, with the focus on Lifetime Next cost cutting? I think that creates a lot of value. So I would love to hear your thoughts on that type of capital allocation?
Laurence Winoker: We do have discussions on share repurchases with our board on a frequent basis. We haven't made any final decisions yet. It's something we have done in the past. I really don't want to comment on that now, until we do make a decision. But it's not something that we would ignore, and if the price of the stock warrants it, we will certainly consider.
Andrew Walker: Okay. I will just throw in one more thought, I mean, if you turn down an offer at 20, and you are reporting these results today, like I think repurchasing shares at these levels is in shareholders' best interest and helps justify turning down the offer at 20. But thanks for taking the call, and I will look forward to Q4 earnings.
Jeffrey Siegel: Thank you.
Laurence Winoker: Thank you.
Operator: Thank you. And I am showing no further questions from our phone lines. I would now like to turn the conference back over to Jeff Siegel for any closing remarks.
Jeffrey Siegel: Thanks again for joining us. We look forward to giving you an update next year on our fourth quarter performance, and the many actions we are taking to help Lifetime grow profitably in today's environment. Thank you all.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone, have a wonderful day.